Operator: Good day, ladies and gentlemen and welcome to the Q4 2009 Albemarle Corporation earnings conference call. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). I would now like to turn the call over to Sandra Rodriguez, Director of Investor Relations. Please proceed, ma'am.
Sandra Rodriguez: Thanks Antwain. Good morning, everyone and thank you for joining us today for a review of Albemarle's fourth quarter and full year results, which were released after the market closed yesterday. Our press release contains preliminary results for the quarter, which, as you know, is subject to further review by the company and our auditors as part of our year-end review process. Please note that we have posted supplemental sales information, as well as reconciliations for net debt and EBITDA on our website under the Investor Information section at albemarle.com. I would also like to caution that remarks today contain forward-looking statements. Factors that could cause results to differ from expectations are listed in our Annual Report on Form 10-K. Participating with me on the call this morning are Mark Rohr, Chairman and Chief Executive Officer; Luke Kissam, Executive Vice President; John Steitz, Chief Operating Officer; and Rich Diemer, Chief Financial Officer. Before I turn the call over to Mark, I would like to ask everyone to save the date for Albemarle's 2010 Analyst and Investor Conference, which will be held in New York City on May 13. Registration and event details will be sent out in the coming week. At this time, I'll turn the call over to Mark.
Mark Rohr: Thanks, Sandra, and good morning, everyone. We appreciate you joining us today as we report fourth quarter earnings. I'd like to begin with highlights of some of our strategic initiatives before commenting on the company's results and our view of current market trends impacting our business. Luke Kissam will follow with a brief update on the company's productivity and cost reduction efforts. John Steitz will then cover business segment performance and some specifics about new product introductions. And Rich Diemer will wrap up with the financial highlights. With our asset base in Jordan, Arkansas, and China, our bromine business has tremendous global reach. We have the commercial viability and know-how from which to produce unique bromine derivatives that go into many end-use markets including pharmaceuticals, fire safety, energy recovery, food, biocidal [ph] applications and emissions reductions, just to name a few. We continue to invest in resources to develop new solutions for our customers, strengthening this bromine franchise. And I would like to mention two such initiatives we have underway. First is a recent launch of our Earthwise family of eco-friendly products. Over the last several years, our scientists have invented what we think as unique breakthrough technology that meets the needs of our customers, provides better performance, and has an outstanding environmental profile. Our first product launched under the Earthwise brand is a fire safety solution we call GreenArmor. And we are getting good feedback from our customers that are now testing this polymeric solution. We hope for commercial sales by the end of this year. These new products specifically designed to improve efficacy and promote recycling, while also eliminating concerns over toxicity issues, provides a new direction for bromine chemistry. Through this year, you will hear more about this eco-friendly brand and new products that fit this profile. You may have also seen our press release last week announcing Albemarle and Chemtura's long-term strategic supply agreement. Luke will tell you more about the agreement shortly, but I'll say we are pleased with the outcome and believe both companies will benefit. Albemarle has positioned itself as a leading bromine supplier with low-cost supply options and this deal with Chemtura further strengthens this position. We have sufficient bromine capacity to meet demand for the foreseeable future and expect to run assets at higher rates as we do so. Now, let me shift to our release. Our fourth quarter results cap a year of execution agility and perseverance carried today. The demand picture in the quarter reflected strengthening across many of the markets we serve. This progress was reflected in reported net income of $62.3 million or $0.68 per share. Excluding restructuring charges and tax benefits, earnings from operations were $0.64 per share for the quarter compared to $0.41 per share at a much lower tax rate than prior year. The restructuring charges relate to planned workforce reductions at a number of our sites in connection with project one Albemarle and asset write-offs in Arkansas as a result of the Chemtura agreements. The one-time tax benefit is from final settlement of the prior year tax audits. Together, those audits benefitted fourth quarter earnings by $0.04 per share. Net sales revenue for the fourth quarter totaled $558 million. That's up 8% from last year and 8% sequentially. All in all, our business delivered solid top line growth and strong earnings in the fourth quarter. Excluding special items and tax benefits, full year 2009 earnings were $1.86 per share compared to $2.39 per share in 2008. Over one-third of our 2009 earnings were achieved in the last quarter of the year. On a full year basis, net sales totaled $2 billion, down 19% compared to $2.5 billion in 2008. Through 2009, we overcame weak markets and substantial unallocated fixed costs at many of our facilities. We set our focus on cash generation and took very aggressive steps to pull back capacity and eliminate cash cost. You've seen the past three quarters where production assets were running at reduced rates, our fixed cost was spread over lower volumes and unheard profitability. Painful as it was, we dramatically improved liquidity and strengthened our balance sheet in the year with over $300 million in cash. During the year, we repaid over $120 million in debt, funding capital expenditures of over $100 million, and paid dividend to shareholders of $44 million. In the fourth quarter, we also made a $25 million contribution – voluntary contribution to our defined benefit plans and repurchased approximately 175,000 shares of common stock for $5.8 million. Good business execution coupled with our continued productivity efforts lead all three segments to year-over-year and sequential margin improvement. Segment margins increased 600 basis points year-over-year from 10.5% in the fourth quarter of 2008 to 16.7% Q4 2009. Our Polymer Solutions business recorded its highest quarterly segment income since 2007, realizing segment income margins of approximately 16%. Demand was stronger than anticipated and we did not see the normal levels of seasonal decline typical at year-end. That said, the sequential volume recovery slowed in the fourth quarter compared to the previous three quarters and we think signaling stabilization of manufacturer's inventory. While Polymer's first quarter is off to a good start, we expect volumes to be weaker through Chinese New Year. Moving beyond the first quarter, continued demand growth in electronics, our portfolio of new products and our low cost base should help drive strong year-over-year segment earnings growth in 2010. While our Fine Chemicals segment net sales were now at 10% compared to fourth quarter of last year, improved demand in our performance chemicals and better cost absorption drove this segment to its highest revenue and profit level since the start of the recession. In 2010, we expect solid top and bottom line improvement in this segment with stronger second half performance when demand recovery in industrial bromides is expected to return. Also, some of the new custom manufacturing businesses in our fine chemistry service sector will kick in and John will talk more about these in a moment. Finally, our Catalysts business closed the year with segment income margins of 20% in the fourth quarter, a 500-basis point improvement over fourth quarter of 2008. These results demonstrate the balanced nature of our portfolio, which stands on three strong legs, all of which contribute and drive profitability for this business and help moderate risk in volatile market conditions like those we faced this past year. While combating significant raw material volatility in difficult market conditions, this segment improved its annual margins compared to 2008 by 80 basis points. We look for strong top and bottom line in Catalysts in 2010 and we expect fairly balanced results throughout this year and across the segment portfolio. Ripping [ph] all this together, our business model driven by the hard work of our employees was a differentiating factor through the tough times we faced in 2009 and I expect will continue to favorably differentiate us going forward. Our fixed cost and productivity efforts are on track and we are working hard to overcome headwinds, while completing the remaining initiatives. Our global teams are geared to provide strong business growth and our balance sheet is stronger than ever and very capable of supporting new strategic growth opportunities that create value for our shareholders. With that, let me ask Luke to comment on our progress with productivity initiatives and Chemtura.
Luke Kissam: Thanks, Mark, and good morning, everyone. All of you are aware of the restructuring efforts we embarked upon to reduce our operating costs of $160 million versus 2008 costs. We are still in the midst of implementing the plan that we laid out early in 2009, but I would like to give you an update of where we are through the end of 2009 on these efforts. Our 2009 costs were over $100 million lower than the 2008 costs on an apples-to-apples basis. That is excluding favorable currency and one-time items. Rich will talk to you in a minute about the financial headwinds we'll have in 2010 that we did have in 2009. So it's critical that we keep that $100 million out of the system and continue to optimize our business model and asset base in order to achieve this objective. In the fourth quarter, we achieved some critical milestones for our restructuring. As you know, in September we initiated the consultation processes required by local laws with our employees at our European headquarters in Brussels and the respective Works Councils at our mineral flame retardant plant in Germany and our refinery catalyst center in Amsterdam. In the fourth quarter, we reached agreements with our employees at our Brussels headquarters and with the works council and union in Amsterdam, which allow us to move forward with our restructuring efforts at those two locations. Those restructurings will take place in stages over the course of 2010 and we take no one-time charge in the fourth quarter of 2009 for the costs associated with those locations. At this time, we are still in negotiations with our German Works Council, but those discussions to date have been productive. While it's never easy to predict timing on negotiations such as these, I would hope we would be able to reach agreement later in the first quarter or early second quarter of this year. At that time, we will incur an additional charge related to that restructuring. Additionally, in the fourth quarter, we established an entity in Hungary, which will operate a global center for transactional processes for Albemarle. This center, which is a key part of our restructuring in Europe, will consolidate certain activities across Europe and in some instances, across the globe. We are almost complete with our office build-out and expect to begin our first wave of operations late in the first quarter of 2010. The goal of this Budapest service center and these related restructuring is to have the right processes, procedures, and controls in place to achieve operational efficiencies and create a more flexible and cost-effective operating structure. We are reducing cost today and building a transactional model that should allow us to keep jobs down as our businesses grow. We recently announced that we had entered into a series of agreements with Chemtura. I am pleased to report that on January 21, 2010, the court presiding over Chemtura's Chapter 11 bankruptcy proceeding approved those agreements and we are currently supplying certain quantities on this supply agreement today. These agreements allow us to resolve various pieces of litigation which have been ongoing for years at significant cost to both parties and provides Albemarle with significant additional production volumes. As part of the transaction, we assigned certain brine interest in Chemtura's West Brine unit to Chemtura and wrote off our smallest bromine plant, which was located in that unit. That bromine plant produced our highest cost bromine and had not been operated been since the end of 2008. We believe these agreements are good for Albemarle and the bromine industry overall. Finally, as demand and production rates have increased throughout the year, we have kept our inventory levels at historically low levels while still meeting the demands of our customers. We fought hard to improve the way we forecast, produce, and deliver products so that we can keep inventory levels down and our hard work seems to be paying off. Rich will provide more details on our accomplishments. In closing, we continue on track with regards to our cost reduction initiatives. There remains a lot of work to do to reach our $160 million goal, but we have plans in place that makes us comfortable that our target is achievable and we will remain resolute. With that, I'll turn it over to John Steitz.
John Steitz: Thanks, Luke, and good morning. I'll start with our Polymer Solutions business. Volumes continued to improve in polymers in the fourth quarter, closing the year out strong after three consecutive quarters of sequential growth, driving quarterly net sales to $205 million, up 38% over the fourth quarter of 2008 and the best top line results the segment has seen in the past five quarters. Polymer segment income rose to $32.4 million in the fourth quarter, a 24% sequential increase and is greater than the first three quarters' segment income combined. Higher sales and production rates coupled with outstanding cost controls enabled us to achieve Polymer segment income margin in a range of 16% for the quarter. Our brominated flame retardants portfolio delivered exceptional results in the quarter. Fourth quarter sales were the highest of the year and more notably, our highest fourth quarter volumes since 2006. Some of the increase is due to customer restocking after inventories were deflated during the downturn. The electronics market remains strong thus far in first quarter and our current full year view of 2010 is showing positive signals. Driven by improved volumes and pricing, our mineral flame retardant business also contributed to polymer earnings in the fourth quarter, was solid year-over-year and sequential sales and profit improvement. Our teams are doing a fine job of managing working capital as well. Polymer inventories were reduced by $75 million for the year. Our Fine Chemicals reported net sales of $146 million in the fourth quarter. Strong sales and better cost absorption drove a 33% sequential improvement in quarterly segment income to $19 million. Segment margins came in at 13%, up 200 basis points compared to the fourth quarter of last year. Fine Chemicals sales and profitability steadily increased over the past three quarters. The strong fourth quarter results were achieved with relatively little sequential improvements in our clear brine business where we are seeing stronger indications for an improved 2010. Rig counts remained below year-ago levels, however, recent increases this year in rig count and improved crude oil pricing should result in a larger number of completions in the coming year. Our Sorbent mercury-control division is gaining traction. New business drove increased top and bottom line performance in the second half of the year. We expect growth in this business to be driven by more energy providers seeking cost-effective solutions to reduce mercury emissions in their coal-fired power plants. Companies working with Albemarle using our bromine based Sorbent technology are seeing significant reductions in mercury emissions. Looking ahead, we are excited about the future growth potential of our food safety product line and also some of the custom services projects taking hold. One of the projects is with ExxonMobil whereby Albemarle is manufacturing commercial quantities of high viscosity lubricants. Another is our work with SIGA on their smallpox antiviral drug, ST-246. Interestingly, this last week SIGA reported that they participated in a simulation with the state – Country of Israel whereby Israeli government officials arranged an emergency mock acquisition of SIGA's ST-246. Moving on to Catalysts, Catalysts net sales for the quarter were $208 million, flat compared to prior year and up 10% from the third quarter. Segment income for the quarter of $42 million was up 33% from prior year and up 25% sequentially, driving segment income margins to a robust 20%. Our polyolefin catalysts business delivered solid results for the quarter. FCC also finished out the year strong as miles-driven statistics continued to improve. We believe our HPC business is back on track after a tumultuous year in dealing with volatile metals costs. We are also expecting meaningful earnings contribution in 2010 from our alternative fuels technology business where we are focusing on breakthrough and step-out applications for our technologies. We are seeing keen interest in our diverse portfolio of products that help customers differentiate themselves and we have a host of new product offerings on the market that will improve efficiency for our customers. With opportunities on the horizon in new markets and new applications, we look forward to a strong year for our Catalysts business. And with that, I will turn it over to Rich.
Rich Diemer: Thank you, John, and good morning to all. I plan to cover our restructuring and other one-time items, taxes, corporate expense, CapEx, our year-end financial position, as well as a report on progress we have made on working capital. As we traditionally do during this call, I will also provide a forward-looking outlook on a number of these items for the 2010 year. In the fourth quarter, we incurred pretax charges of $11.6 million, $7.6 million after tax in connection with the ongoing corporate restructuring program, which we have dubbed Plan C and as just discussed by Luke, it's designed to reduce our 2008 cost footprint by $160 million. These charges are principally related to severance and related costs at our Belgian and Dutch operations where we received advice from our respective Works Councils that enables us to move forward with our cost savings plans and charges on the U.S., principally related to the various agreements with Chemtura. We are still in the consultation process with our German Works Council as it relates to our Martinswerk site. Our Q4 reported income tax benefit includes a net benefit of one-time items of $11.3 million or $0.12 per share, mainly due to the reversal of reserves as a result of the finalization of the IRS review of our 2005 to 2007 U.S. tax returns. Excluding these and other discrete out-of-period tax items, our operational effective tax rate for the quarter was approximately 15% and for the year 13%, slightly higher than our 12% guidance and rate through the nine-month period. This was due to higher income levels and the geographic mix of Q4 results. Our go-forward guidance for the 2010 effective tax rate is a range of 18% to 20%. Unallocated corporate expense in Q4 was $16.7 million, higher than forecasted, principally due to certain European product registration costs and benefit related expense. 2010 corporate expense guidance is $65 million to $70 million or $16 million to $17 million per quarter and includes pension and OPEBs, which will be up $15 million year-over-year and other salary and benefit cost headwinds. Our EBITDA in the quarter excluding special items was $101 million, up 48% from last year and up 14% sequentially. The last time we generated EBITDA over $100 million was in the third quarter of 2008. On a revenue base, that was a $100 million higher than this quarter. I believe that is a testament to the effectiveness of our Plan C and exemplifies the earnings leverage we will enjoy as volumes rebound. CapEx for the quarter was $17 million. Full year CapEx was $101 million and our view of our 2010 CapEx spending is a $100 million also. Depreciation and amortization in Q4 was $26 million. Full year depreciation and amortization was $101 million and our estimated depreciation and amortization for 2010 is a range of $100 million to $105 million. Including $44 million of debt at JBC, our Jordanian venture, our year-end consolidated debt was $813 million, down $8 million from the end of Q3 and $120 million decrease from last year end. $439 million of our debt is floating rate and $374 million is fixed rate, a 55-45 split. Our floating rate interest rate was 0.83% at year-end. Our weighted average interest rate for Q4 was 2.8%. Net of $309 million of cash on hand and excluding $25 million of unguaranteed, yet consolidated JBC debt, our net debt decreased $54 million in the quarter to $478 million. It's down $171 million for the year. Our debt-cap ratio is 40%, our net debt-to-cap ratio is 28%, and our debt-to-EBITDA ratio is approximately 1.7 times. Although our final cash flow statement of full balance sheet will not be published until we file our 10-K, cash flow from operations was approximately $100 million in the quarter and $360 million for the year. We reduced net working capital by $136 million this year. Inventories are down $191 million since last year end and we made additional progress in Q4 despite the 8% uptick in revenue. We reactivated our buyback program during the quarter, repurchasing just shy of 175,000 shares for $5.8 million, an average of $33.25 [ph] per share. We will continue to be opportunistic with our stock buyback and have approximately 4.25 million shares authorized for repurchase under our current program. Speaking for all of us at Albemarle, we are excited by the prospects of generating double-digit top line growth in 2010. With the continuing execution of Plan C, focus on cost control, and cash generation in the context of a return to global growth, we are confident we can deliver significantly improved profitability year-over-year. We enter the year knowing that we will need to deal with the headwinds of higher raw material and energy costs. We also have factored in anticipated headwinds from a 50% higher tax rate year-over-year and higher pension and other people costs. As it is only fair to reward those that have delivered the fine results that we report today and have been under our recent austerity program, we feel very strongly that we emerged from 2009 a company with improved prospects and earnings potential of plus $4 per share in 2012. You'll hear a lot more about that in the coming months and on May 13th at our Investor Day in New York City. And with that, let me turn it back to Sandra.
Sandra Rodriguez: Thanks, Rich. Okay, we would like to open it up for your questions.
Operator: (Operator Instructions). Your first question comes from the line of P.J. Juvekar. Please proceed with your question.
P.J. Juvekar – Citigroup: Yes, good morning.
Mark Rohr: Good morning, P.J.
John Steitz: Good morning, P.J.
P.J. Juvekar – Citigroup: I'm looking at the Catalysts segment and what kind of growth do you expect in 2010? Is it going to be gradual growth or do you expect to snap back in volumes after refiners pushed out the Catalysts change-outs last year?
John Steitz: Thanks, P.J. This is John Steitz. P.J., I think we are – as you look forward to 2010, I think we are going to see a more gradual rebound quarter-to-quarter in Catalysts. Now, I'm assuming there that metals volatility will be minimal and generally, we start out with stronger HPC volumes in the first quarter and first half as they prepare for the bigger driving season, but offset by that are weaker FCC volumes in the first quarter as they go through those turnarounds. They are not consuming that ratable product. So overall, I'm – we are looking forward to sequential growth and trying to build momentum through the course of the year.
P.J. Juvekar – Citigroup: And your polyolefins business has been strong, you are building that new plant in Saudi Arabia. Can you just talk about how big that business could be relative to other?
John Steitz: Yes, we are – it has been a very solid business for us, built on two platforms. The new Catalysts piece, which primarily that manufacturing base right now is U.S. base. But that year-over-year improvement despite the downturn has been really strong and our plants here in Baton Rouge is sold out. So we need to do some debottlenecking and expansion in that business. And our organometallic business, which you were referring to in Saudi, that business volumes declines were minimal in the fourth quarter as our customers watched inventory, but next year, 2010, can be again continued growth. So – I mean, I really believe that business can double over the next five years and we are very excited about that and we are going to continue to work to supply what we see as a very highly value-added products marketplace.
P.J. Juvekar – Citigroup: And just a last question for Rich on the tax rate quickly. You are seeing that tax rate creep up as your earnings go up. Where does that rate max out? Does it go back to high 20s or is there a level in your mind where it's going to max us out?
Rich Diemer: Well, P.J., I think what I would say is next year you are going to get back to kind of the 20%-ish type rate that we had a couple of years ago when we were making more money. I think when you are talking maxing out, you are introducing the government in the equation. So that's why we feel good about what we see for the upcoming year, but what the government does or doesn't do as it relates to all corporate America will impact us and so far no real news there. There has been a lot of threats and a lot of supposition, but we can't really build that into our rate until we know exactly what the legislation is.
P.J. Juvekar – Citigroup: Yes, I know. I'm sorry, I'm not talking about new legislation, just existing legislation. If you are exploring the recovery.
Rich Diemer: Okay. What it would be, P.J., is in the 20-s because I think as our business expands, the current footprint would expand with it, which means we may expand the JBC, which as you know, has a got a zero tax rate on it in terms of our polymers group. So I think 20-ish is kind of where it wants to be at somewhat higher levels of business.
P.J. Juvekar – Citigroup: Thank you.
Mark Rohr: You are welcome.
Mark Rohr: Thanks, P.J.
Operator: Your next question comes from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander – Jefferies: Good morning.
Mark Rohr: Good morning, Laurence.
Laurence Alexander – Jefferies: I guess first question just on the new class of brominated products that you've launched, over the next three to five years, what percentage of your products mix do you think you can replace and is there any margin benefit from the substitution?
Mark Rohr: Yes, it's – yes, I'm not sure I can answer it with as many specificity, but as we look at it, we think that is a – over the next three years or so, may be a 10% chance of penetration of product mix. There are ways we can push that higher perhaps as we look at add additional derivatives to this product out there. There is some that look very promising for the new TV applications that are coming in, but I would say it's – early stages, I would say 10%. What is so breakthrough about this is its unique way of combining these molecules and makes a polymer that has an unbelievably great environmental footprint, Laurence. The offset to that is that is the folks who are less concerned about continue to buy some pretty cheap and efficacious products out there that are not so environmentally sensitive. So we'll – we are going to put it out there and drive it hard and we think over the next five years or so, it's going to get tremendous acceptance, but it will be a little bit slow in the uptick to start. And we do expect to make comparable margins for this product.
Laurence Alexander – Jefferies: And for longer term, does that mean you are shifting into polymer manufacturing expressly as opposed to polymer additives?
Mark Rohr: Yes, directionally. The – what you – what we can do with this is, Laurence, we are going to actually build the molecules specifically for the application. And we experiment some with that in other some areas and we've got had great success with that. So imagine the ability to go in and for a specific application, a TV or a color of glass or something we can actually tailor-make it and get it to work for all these individual – it doesn't have any, again, the watch-out for small organic molecules and phenomenal recycle building, low greenhouse gas emissions. So really it's a great thing. So we think we will be able to build this molecular footprint for our business and shift our business over time to a polymer business.
John Steitz: And Laurence, I – this is John Steitz. I'd just like to add. It's great safety, efficacy, and environmental profile. It really shifts the debate to greater power safety globally and that's really longer term where we want to go with this product line obviously.
Laurence Alexander – Jefferies: And then I guess just lastly, right at the end I think Rich you gave a list of things that you were being – that you were factoring in as areas of being cautious on 2010 of raw materials, energy costs, higher labor costs, pension. Can you just update our thinking on how – what size that each of those buckets might be?
Rich Diemer: Well, I tried to do that in terms of what corporate is. I guess in some of the larger buckets, pensions and OPEBs, which I look at together, would be up $15 million or so this year. That's our best estimate. Part of that has to do with where the discount rate land at the end of this year. Part of it had to do with the fact we actually will be pulling in our assumed rate of return on assets in terms of pension assets. I've taken that down 50 basis points to eat in a quarter. So when I apply that to my assets, it's somewhat lower. So some of that was done to me and some of that I did to myself so to say. But that's a $15 million bucket. I think there is a bucket in there that would look for the corporation to kind of go back to a more normal approach to bonuses and there is a couple of different pieces to that. So – well, I'd say that's probably $10 million to $15 million incremental. And then in terms of salaries, that's another $10 million. So you try to pull them out together and that's really some of the headwinds that we are dealing with.
Laurence Alexander – Jefferies: But isn’t –
John Steitz: I'll just comment on raws and energy. I mean, the current view is that there would be a headwind for us in 2010 between – somewhere between $50 million and $60 million with about half of that right now to be in metals and the other half petroleum based derivatives, some of which would be contractually passed through, some we would have to work to get pass through, but that’s current view on –
Laurence Alexander – Jefferies: And even with those items, margin should be up year-over-year.
Rich Diemer: That's correct.
John Steitz: Yes.
Laurence Alexander – Jefferies: Thank you.
Operator: The next question comes from the line of Bob Koort with Goldman Sachs. Please proceed with your question. Mr. Koort, your line is open. Your next question comes from the line of Kevin McCarthy with Banc of America. Please proceed with your question.
Kevin McCarthy – Banc of America: Yes, good morning. Thank you. Your net debt balance appears to be the lowest that's been since 2004 and I was wondering if you could comment on whether or not we should expect your deployment of cash and excess cash flow to change in 2010 as the up cycle progress this year.
Rich Diemer: Kevin, this is Rich. Let me take a stab at that. What I would tell you is I think we were very prudent with cash through all of last year and it was all about managing to maintain our cost of borrowing which I think is world class for any company in any industry. And we are able to do that. I think going forward, you'll see a more return to normal – the normal, which for us I think will be the old normal, which would be – we are probably going to reemphasize our pipeline and the M&A area and look for opportunities there, look harder for opportunities there. I think you will see absolutely we are not going to lower the borrowing CapEx, but we are able to fund our current CapEx very comfortably. Remember, a portion of last year's CapEx, probably 30% was in one project that kind of went to build what we did for the Exxon product that John mentioned. So we'll have a kind of redistribution of those CapEx, we are not going to lower the bar, but we feel very comfortable with that. We will be looking at the dividends before an upcoming Board meeting coming up and in the past we've distributed more money to shareholders opportunistically through buybacks and I think that – that's another thing that we will be looking a lot more closely at given the situation that we have in terms of net debt and cash and financial flexibility.
Kevin McCarthy – Banc of America: Okay. And then shifting gears, now that the court has approved your various agreements with Chemtura, I welcome any additional color that you might be able to provide on the anticipated sales and earnings impact there in 1Q and beyond for Polymer solutions and Fine Chemicals, if any.
Rich Diemer: Kevin, this is Rich. We cannot comment on the revenue impact there based on the agreements, but as I discussed with many of you when we put out the press release recently, this agreement is $7 million to $10 million for us year-over-year in goodness. And I break that down into two components because I know people model Plan C, the restructuring program that we have. $3 million to $4 million is cost out related to the support and related to those assets that we wrote off, the legal expense, the assets and the asset support. And we internally here would put that into the Plan C cost bucket. In terms of quarter-over-quarter benefit to both our Fine Chemicals and our Polymers business, which both benefit from this agreement, we've set $4 million to $6 million a year so a penny to a penny and a quarter – or penny-and-a-half, a quarter and that's about two-thirds to Polymers and one-thirds to Fine Chemicals. So the – adding those two pieces together is $7 million to $10 million.
Kevin McCarthy – Banc of America: Got it. Thank you very much.
Rich Diemer: You are welcome.
Operator: Your next question comes from the line of Steve Schwartz with First Analysis. Please proceed with your question.
Steve Schwartz – First Analysis: Hi, good morning, everyone.
Mark Rohr: Good morning, Steve.
John Steitz: Good morning, Steve.
Steve Schwartz – First Analysis: John, can you add some color to the mix effect that's going on in polymer additives?
John Steitz: Yes, you bet, Steve. I think that's a good point, good observation. And basically, what we saw in the fourth quarter of '09 was within the brominated flame retardant mix, we sold more tetrabrom as a percent of the total volume. So that effect of – really drives down the average price per ton in that business. The mineral flame retardant business, as we spoke about, in the business itself there was a group pricing, aided by some year-over-year FX issues. But that business is holding up pretty well and those volumes improved as well. But that puts pressure on the mix portion of the pricing equation. So those two are detractors in terms of pricing and mix in polymers. Hopefully, that helps.
Steve Schwartz – First Analysis: Well – but John, correct me if I'm wrong. When you calculate mix, you are saying that in the prior-year quarter you sold a like product that carried a higher revenue and then presumably in this most recent quarter, you would have sold a like product that again has a lower level of revenue. And that's what would have caused mix at the revenue level to decline. Is that in fact what happened?
John Steitz: Actually, if you look year-over-year, there was a bit of positive actual price improvement. Sequential – sequentially, that was a little bit less. But if you look at within the quarter itself, you are exactly right. Selling more of the higher-volume tetrabrom is lower average price and that pressures that mix portion of pricing.
Steve Schwartz – First Analysis: Okay, okay. And then just with respect to the polymer additives again, what was the boost with respect to auto versus electronics? I know the majority of that business is electronics, but I'm wondering how much auto helped out with wire and cable. And then what do you think right now the forecast for electronics is for production to taper off in the second half of the year? Do you foresee a downturn in the second half for your flame retardant PA business?
John Steitz: Yes, thanks, Steve. John again. You know, the great thing about the – our Polymer solutions business is it's a very diversified portfolio of businesses. And what we saw through the course of 2010 was the business improved really in almost rates. It started early in the supply chain with printed circuit boards, which is tetrabrom and related products. It went from there to enclosure volumes because TV sales were stronger at the back half of the year and then it went to connectors that covers a wide range of markets, both electronic and automotive. We are still seeing that strength continue and I think a portion of that is related to an improving automobile sector. Minerals is part automotive, but also there are some interesting aspects there of improving car safety regulations for example in mining belts. There is some higher regulations now about adding flame retardancy into mining belts for mines and that's giving us a bit of a boost in an – a really nice new application for mineral product line. So going forward, I think as Mark mentioned in his opening comments, yes, we are a little bit concerned about the Chinese New Year and getting past that. But on the whole, volumes appear to be robust sequentially – and I think hopefully that there is no economic derailment, we'll continue to show good sequential improvement in our volume portfolio in polymers.
Steve Schwartz – First Analysis: Okay, great. Thanks, John.
John Steitz: Thank you.
Operator: Your next question comes from the line of David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter – Deutsche Bank: Thank you, good morning.
Mark Rohr: Hi, David.
John Steitz: Hi, David.
David Begleiter – Deutsche Bank: John and Mark, can you discuss margins and bromine FR in terms of the Chemtura agreement? How much – what's the long-term potential of margins? Can you get back to the potentially even high-teens in this business going forward?
Mark Rohr: Yes, David, I think rather than talking about Chemtura, I think in a fundamental sense, what we have – and we believe very strongly we have a low-cost position in bromine on the aggregate average around the world and we have the – a very unique reach that nobody else has. That brings a lot of value to our business and you combine that with the technology that we bring, which is again second to none, we think that lets us carve out incrementally higher margins than the average person out in this business. So we've always said that we expect these margins to be in the high-teens – in running the high-teens and I don't see any reason why we shouldn’t continue to do – be focused on replicating that situation. The only takeaway from that – well, there is two takeaways from that on a watch-out side. One is phosphorus and the organization is doing a lot to reposition our phosphorus business to incrementally improve year-over-year and get those margins which are very low to a respectable level. And minerals has been a challenge and with some of the efforts that are underway that Luke talked about, as well as some new technology, we are looking at it and say we think we can get those margins moving back towards – not at, but towards a level that we enjoyed a few years ago when we had such great ATH position. I think the net of all of those things is we should be able to press the high-teens in that and maybe occasionally touch 20.
David Begleiter – Deutsche Bank: Very good. And just, I know John, you announced some price increases for the first of the year. I know it's early, how are they progressing in bromine FR?
John Steitz: Yes, David, we led that price increase. There is always a little bit of a lag there, but we seem to have a little bit of momentum now and that's a good sign. And I think an important inflection point for the entire bromine business is the bromine supply and demand picture in China. As China tightens from a supply and demand perspective, I think it could be some significant opportunities going forward in bromine. So we are continuing to study that and make sure we are making good decisions going forward there. But we are just continuing to study that situation. I think it could be a nice tailwind for us over the next 18 months.
David Begleiter – Deutsche Bank: And last question just on FCCs, John or Mark. Where are FCC prices today and what do you expect – do you expect price increase in FCCs in 2010?
John Steitz: Yes, David, this is John again. You know, we saw year-over-year pretty significant pricing improvement in FCC in a range of 10%. It was less than that sequentially, but it was pretty healthy. Our customer base is going through an extremely difficult time, probably the worst ever. And I find it pretty difficult scenario in that to drive forward any significant price increases in 2010. We are going to keep our eye on raw materials, natural gas is going up sequentially and that puts additional pressure on it and could be an opportunity to pass those kind of cost through, but we are just going to continue to study that right now.
David Begleiter – Deutsche Bank: Thank you very much.
John Steitz: Thank you.
Operator: Your next question comes from the line of Mike Sison with Keybanc. Please proceed with your question.
Mike Sison – Keybanc: Hi guys, nice end to the year.
Mark Rohr: Great. Thanks, Mike.
John Steitz: Thanks, Mike.
Mike Sison – Keybanc: In terms of elemental bromine pricing at the end of the year and operating – when did you start to end up or where did the industry end up and when you think about sort of the longer-term supply and demand dynamics, is there a good upside potential in pricing for bromine over time?
John Steitz: Yes, thanks, Mike. This is John again. You know, the last time we saw significant opportunities to raise prices were when the supply and demand portfolio in China really became challenged. And I think we are beginning to see that again today. We saw improvement sequentially in bromine prices outside of China and within China, prices are up from six months ago in a range of 50%. And there is a lot of environmental pressure on bromine supply right now within China and this affects the downstream consumers of those products, which is primarily in the flame retardant arena. So that's why I mentioned in the previous question of David's that we are going to continue to study that. But I think in the coming months could be a very solid opportunity for the bromine based business and its derivative products.
Mike Sison – Keybanc: Right. And then Mark, fundamentally when you think about the JV with Chemtura or the agreement with Chemtura, do you think the industry in total, there is really you and Israelis, do you think they feel pretty good about that? Is this something that benefits the industry in total?
Mark Rohr: Well, yes. I guess I would say I think it does benefit the industry in total. I mean, Chemtura is working with a great partner in Albemarle and they are going to be out there selling and growing their business. They will be investing in research and doing their thing. And the Israelis are – have a good position with vast reserves they have in Israel across the East Canal from our facility in Jordan. So I think structurally, it's good. So we expect the industry to continue to grow and do well and we think some of the new products that we are introducing out there and some of the new opportunities especially as we push these new bromine derivatives and we are getting more and more of these opportunities out there from things like the biocidal applications that John has talked about, Sorbent, which you know a lot about, I mean there are some new things with the – they started in the gas to liquid technology area and sort of morphed into some petrochemical refineries (inaudible) uses bromine to upgrade products, look really encouraging. So we are pretty bullish that this business that has had for years a tremendous dependency on some legacy products that go into flame retardants is slowly moving beyond that and I think the industry is going to benefit from that and Albemarle is going to benefit a lot more than the industry.
Mike Sison – Keybanc: Great. And Rich, when you talked about double-digit growth top line for your businesses, if I sort of did the math of polymer additives, it's sort of not unreasonable to sort set you somewhere around that $800 million range in 2010, $200 million a quarter that you did in the fourth. Any reason why your operating margins wouldn't feel the sustain and sort of the fourth quarter levels on that number, like, 16%, 17% level?
Rich Diemer: Well, we would hope so, Mike. I think part of the equation there would be there would be a little margin pressure in polymers from the Chemtura arrangement, all right, because we are selling some of the lower-margin products, but we are making money on each of those products and we think it's the right thing to do. So – but again, as all the things that you heard John and Mark talk about in terms of new applications and bromine getting tighter, we would think we would counter – counterbalance that and certainly drive – I mean, you heard our inspirational goals for the high-teens, pushing 20. So certainly – well, we should be able to keep that 16% margin.
Mark Rohr: Mike, I think just to be mindful as we start this year, Rich talked about some of the headwinds, we are factoring those in. Those get distributed a lot to the businesses and each of these businesses has incrementally more water to carry in the first quarter into the fourth. And we are taking steps to offset those as best we can to stop it where I strongly endorse what Rich has said. I think we are setting a foundation there. Don't be in all shock that we start a little bit weak from that we build it as we go through the second, third quarter and fourth quarters of the year.
Mike Sison – Keybanc: Got you. And John, just real quick on backlogs for HPC. Are they pretty good here heading into the first half?
John Steitz: Yes, they look reasonably strong, Mike, and hopefully we are through the worst in that business. Obviously – especially, 2009 with all the metals issues we had to deal with and at a point, our customers just had to get these reactors changed out. So – but on that note, we are hoping for a bit more ratable volumes in the first half.
Mike Sison – Keybanc: Great. Thank you.
John Steitz: Thank you.
Mark Rohr: Thanks, Mike.
Operator: Your next question comes from the line of Dmitry Silversteyn with Longbow Research. Please proceed with your question.
Dmitry Silversteyn – Longbow Research: Good morning, gentlemen. Congratulations on a nice finish for the year.
Mark Rohr: Great, thanks, Dmitry.
John Steitz: Thanks, Dmitry.
Dmitry Silversteyn – Longbow Research: Couple of questions. One on the price mix components across your businesses. From the conversations that took place here earlier, my understanding is that it was multiply mixed. Did pricing in fact go down in any of the businesses and if so, was it just a pass-through or was it a competitive pressure or why did pricing come down as it did on year-over-year basis?
John Steitz: Yes, thanks, Dmitry. This is John. Without doubt, the majority of the pricing pressure was mix based, okay? And the majority I’d say of that would relate to the metals pass through. I mean, in HPC in the quarter itself, that was about a $40 million impact on the fourth quarter. So you can judge how big of an issue that was. And I'm talking year-over-year there, not sequentially.
Dmitry Silversteyn – Longbow Research: Okay.
John Steitz: But I think broadly across the businesses, there has been very little true price erosion. In the fourth quarter, there was some formulaic based petrochemical pass-through as some of those raw materials declined in the fourth quarter, but those same raw materials that declined in the fourth quarter we are seeing produce a bit of a headwind in the first quarter, particularly related to benzene and phenol and some of those feedstocks, okay?
Dmitry Silversteyn – Longbow Research: Got you, got you. When you look at the Catalysts business, you showed that volumes were about 12% year-over-year. Can you talk about specifically the HPC, the FCC, and the polymerization catalysts and give us some idea how those businesses performed in terms of volumes in the quarter and what your expectation is for 2010?
John Steitz: Yes, you bet. First of FCC, Dmitry, it was down a bit year-over-year, 4Q to 4Q '08 and I think that was – in the fourth quarter of '08, there was still – for a part of that quarter, pretty good economic activity, higher employment levels and that kind of thing and people didn’t have the car in the garage if you will. With that said, so we had a decline year-over-year, but we saw a bit of an increase sequentially, which I think is a good reflection of the miles-driven statistics as they improved through the back half of 2009. And so going forward, I think we can anticipate continued volume growth for the year in 2010, but we will have a sequential decline in FCC volumes in the first quarter because we generally see that because of those shut downs. HPC, we saw double-digit increases in volumes in the fourth quarter. I would hope – I think we can hold on to that kind of volume level in the first quarter and second quarter and we are looking forward to turning a big corner here for us for the year and having well, I'd say it's double-digit volume increases year-over-year in HPC. And then the new polyolefin catalysts business also I think we will see volume continue to grow in that business year-over-year and we are seeing positive signs there for Catalysts. And then lastly, I'll mention what we've talked about in the past, is the AFT volumes kicking in. We'll have some of that for Neste [ph] in the second quarter and there is an order in the fourth quarter that right now could go in the four, could go in the first, we are not quite sure. Those schedules do tend to change.
Dmitry Silversteyn – Longbow Research: Got you, got you. Now, is the – your kind of confidence in the HPC performance in the first half of the year obviously comes from the order book that you currently have and have some visibility on. Can you give us an idea if this is kind of the replacement cycle beginning to kick in or are these brand new applications and brand new refineries in other parts of the world that – and not so much tighter replacement cycle?
John Steitz: I think, directionally it's probably 60% to 70% of the volume we are seeing is a normal. After a prolonged period of not having those change-outs, we are seeing more change-outs occur. We saw more in the back half of the fourth quarter, we are seeing more in the first half, and then that is added to by some of the new refining operations coming on-stream in the Middle East and India.
Dmitry Silversteyn – Longbow Research: Okay, but –
John Steitz: Let's say it's probably 60-40.
Dmitry Silversteyn – Longbow Research: Okay. So over 60% plus is from the replacement business and so that gives you confidence that we – finally, after nearly three years or so of delays that we kind of finally there in terms of getting the cycle underway?
John Steitz: Yes, right, Dmitry.
Dmitry Silversteyn – Longbow Research: Okay. Very good. Just want to make sure that I understand correctly, the $160 million in cost savings that this Plan C is supposed to generate, you generated about $100 million or so you said in 2009. So for 2010, we should expect about a $60 million delta or it's going to get to that run rate by the end of 2010 so it wouldn't quite be $60 million?
Luke Kissam: Yes, hi, Dmitry. This is Luke Kissam. It will get to that run rate by the end of the year.
Dmitry Silversteyn – Longbow Research: Okay. So we are probably looking at incremental more like $20 million to $30 million or so?
Luke Kissam: Yes, I think that's probably right. This is back-end loaded for us because we have the structural moves that we talked about in Europe.
Dmitry Silversteyn – Longbow Research: Got you, got you. I was a little surprised that you expect FCC volumes to be lower in the first half of the year on year-over-year basis in 2010. I mean, as you mentioned, we are coming up against fairly weak comps, where part of the fourth quarter was still okay in terms of miles driven, but it really fell off the table in kind of the March and June quarters. Why would you expect FCC volumes to still be down on a year-over-year basis?
John Steitz: Yes, Dmitry, if I said that, I misspoke. What I intended to say was that FCC volumes in the first quarter will be down sequentially a bit. Not a lot, but a bit.
Dmitry Silversteyn – Longbow Research: Okay.
John Steitz: And growing through the back half of the year, still growing year-over-year. I'd say in the low-single digit volume.
Dmitry Silversteyn – Longbow Research: Okay. So it's kind of a normal growth rate that you would like for FCC.
John Steitz: We normally see it slower in the first quarter because of all the turnarounds and FCC is consumed on a ratable basis. So if they are not running the refinery and they are doing a turnaround, say, that volume will decline.
Dmitry Silversteyn – Longbow Research: Okay. But in terms of year-over-year, you are not expecting a slow start to the year?
John Steitz: – seeing growth for the year with the slower start in the first quarter.
Dmitry Silversteyn – Longbow Research: Okay. And then final question, you mentioned it’s kind of as a top priority for your growing cash position, which we have used it for acquisitions, something – which you haven't done in the last 12 months plus, historically in the past you – you run a $200 million or so a year – every other year. Is that kind of the rate that you are looking to – or is that kind of the size of the acquisitions which you are looking at and in what areas are we likely to see this? What are kind of some of your focus areas for making acquisition?
Mark Rohr: Yes, we have a history of being a bit cyclical with this, but I would say that your range is right for what we could call bolt-on. And there are a number of bolt-ons we are looking at, primarily in the Fine Chemical area and – that are out there that are pretty attractive to us that would sort of continue our growth in that arena. On a larger basis, we have a pretty – we have a huge appetite, we are pretty purposeful in how we think about these things, but the areas that are attractive to us obviously are step-out in catalysts and I think when you look at that, that can even be some secondary kind of businesses that deal with highly complex inorganic and metallic – inorganic metallic kind of combinations that are out there. In the area of Polymers, we are looking more towards polymeric and material science kind of applications. There are some new technology that's kind of appealing to us. And lastly, we talked about Fine Chemicals and we continue to debate whether we spot further down the chain there, some areas like bromine. So there is a pretty broad feel for us, Dmitry, but you should expect that if we do these things, they are going to be accretive. We have no intention to moving off our investment-grade rating that we have out there and the last thing for us, most important, it's going to make great sense to the folks that know us and follow us. We are not out to just invest money to buy something and get bigger. We really want to grow these business foundations we have in place.
Dmitry Silversteyn – Longbow Research: Got you. Okay, thank you very much.
Mark Rohr: Thanks a lot.
John Steitz: Thanks, Dmitry.
Operator: Your next question comes from the line of Todd Vencil with Davenport & Company. Please proceed with your question.
Mark Rohr: Hi, Todd.
Todd Vencil – Davenport & Company: A lot has been answered. I just want to dig in and think about things in a little bit of different way. I mean, obviously volumes are coming up across a lot of products. Can you kind of take a minute and step back and talk about where you guys are in the various major business units or capacity utilization relative to where you've been, say, in the last year or two?
Mark Rohr: Well, I mean, the capacity utilization the last year, Todd, as you know was – I mean, we just – you couldn’t talk about it because we were basically shutting down so many things in the first part of the year.
Todd Vencil – Davenport & Company: Right.
Mark Rohr: Largely, the business has been operating in the – if you look back beyond that, in the 80% to 90% kind of range and for a specialty business like ours, that tends to use the same asset for different things. That's about – that’s pretty high capacity utilization. We are starting to see some of that return in some areas now for us where we are running at pretty high capacity and I think John mentioned some debottlenecking is looking to occur in the Catalysts area in particular. We have some in the Polymeric areas as well where we are really pushing the edge of that capacity. So you should look at us as being – I wouldn't say – we are not out of capacity, we are pretty tight, in some of the bromine chains, we are going to be pretty tight and we are pretty tight in some of the Catalysts chains that's out there. And as we end the year, having said that, with SIGA and things like that, we are going to get pretty tight in the Fine Chemicals chain. So we are moving up into, from a capacity utilization point of view, I'd say in the 90% kind of range as we go through this year.
Todd Vencil – Davenport & Company: Got it. And you mentioned even given some of the cost headwinds you are looking it, a lot of which obviously are contractually offset with pass-through and some which you are going to have to try to get, you mentioned that even those headwinds you still think margins are going to be up. I mean, do you think the price cost element of margin remains higher? I mean, so what I'm asking is, are you going to be able to make up all this cost on price or some of it get made up through capacity absorption?
Mark Rohr: Yes, I think the biggest – I mean, the biggest change year-over-year in our business was volumetric or absorption because we just weren’t running.
Todd Vencil – Davenport & Company: Sure.
Mark Rohr: And so that volume component is still going to play. The absorption component is still going to play a big part of our gain as we go through this year. There are some areas where John has been driving price and I think we will have some success there. There are other areas where it's going to be really difficult given the tentative nature of the customers that are out there. A lot of folks are still just barely hanging on through this recession. So you should look – that would be predominantly in the volume is where we are going to drive most of our margin improvement that's out there for us this coming year.
Todd Vencil – Davenport & Company: Hopefully, not a lot of loss though on the price cost side?
Mark Rohr: Well, we are pretty – we don't give anything away. I mean, we expect to – our products make a lot of money for our customers and we work for to make sure that they make a lot of money for our customers and so we expect to get compensated for that. But in fairness, when you look at some of the businesses that are out there, I mean, the U.S. economy is still struggling and some parts of Europe are still struggling dramatically and we've got to do our part to help customers in some areas. So we are going to work hard not to give up too much, but I'm sure we will have to give up some – in some areas.
Todd Vencil – Davenport & Company: Okay. And I guess final question on that, just around that – this area is based on what you said about the fact that some of your price is getting tied in and I mean, I guess I can derive this from your comments on the margins, but is it fair to say that we've now kind of taking back most of the volumetric margins that we are going to get, maybe not all of it, but – ?
Mark Rohr: I think by the end of 2010, that will be case.
Todd Vencil – Davenport & Company: Okay.
Mark Rohr: But – yes?
Todd Vencil – Davenport & Company: Okay, that's it. Thanks a lot.
Mark Rohr: Great. Thanks, Todd.
Operator: Your next question comes from the line of Robert Koort with Goldman Sachs. Please proceed with your question.
Robert Koort – Goldman Sachs: Good morning, guys.
Mark Rohr: Hi Bob, how are you doing?
Robert Koort – Goldman Sachs: Good. Sorry about the telecom wimble I went into earlier.
Mark Rohr: It's all right. I know you –
Robert Koort – Goldman Sachs: Two questions. One may be for Luke. When you think about operating rate in your bromine wells in Arkansas, can you give some sense to where those might be by the end of this year relative to maybe where they were in the '06, '07 time frame?
Luke Kissam: I think that – Bob, it's hard to tell what the demand is going to be by year-end. But if you assume that the rates are going to be consistent with what we've done with our planning for the year, we are going to be close back up with kind of '07 rates I think.
Robert Koort – Goldman Sachs: Okay. And then can you talk a little bit, maybe John, on Fine Chemicals? The sales were off 10%. I think you picked that oil field chemicals in particular as the weak area. Were the rest of the – was the rest of the portfolio on positive territory in terms of year-on-year volume?
John Steitz: Yes, Bob. Yes, it was – clear brines was a piece of it. So the sales decline year-over-year, you call about half of it clear brines and the other half was some ag intermediates that we supply and the customer just cut back on their order patterns at the end of the year. So what we saw in Fine Chemicals was all the new products, both on the bromine side and the fine chemistry side, really kicked in to offset those two headwinds.
Robert Koort – Goldman Sachs: Okay. And then can just remind me again, when I look at moly prices and volatility in moly, how that affects – one, how it gets passed through and then, how it affects your customer buying behavior? I mean, obviously we've seen moly some days was in the 30s the last couple of years, then it sort of troughed out last year in the $12 or $13 range and we've seen some increases up here to the mid-teens. How is that going to change behavior? How does that get through to your product pricing?
John Steitz: Yes. So the product is – price in the contracts is based on the index, the two published indexes, usually one or the other or an average of both, Bob. And then year-over-year what we saw moly do was probably – was cut in half. So it was in the range of $27 a pound down to, in the fourth quarter, something in the range of $13 a pound. Now, we are seeing a little bit of pressure on that now. They have been going up through the course of the first quarter here. But generally, there are some customers who believe that it could go back up and may want us to procure the metal for them and thus, having a base load of metals price in their catalysts. There are some who – it doesn't appear to be that important to or they are not willing to bet either way. But generally, in the fourth quarter, that was a big reduction in revenues because the moly portion of the catalyst pricing was way down. As I mentioned earlier in the call, that was about $40 million year-over-year. But – anyway, that's the scenario. Hopefully, that gives – answers your question. I guess not.
Robert Koort – Goldman Sachs: Just to clarify, John, does that mean you take the credit risk of taking that metal for your customer, but don't actually get to book your revenue because you haven't delivered the product?
John Steitz: Well, this was – I mean, to a degree, that's true, okay? So that's why in – we had such a big metals issue in 2009 because we had such way too high inventories frankly. And what we are doing now, Bob, is really trying to manage those inventory levels extremely tight. A matter of fact, our teams are working with a third party to really help us break out of the box in terms of how we handle planning and forecasting for HPC business, because that is such a big issue and it was a big issue for us in 2009, as I think you are aware.
Robert Koort – Goldman Sachs: Got it. And one last one, if I might, for Mark. You've, I thought, quoted out a target of $4 a share of earnings in 2012. I guess I don't have that clarity and confidence to forecast that far out. Some who have taken a stab at it aren’t anywhere close to that number. So in terms of street estimates, your confidence you are going to give us a robust analysis so we can see what the waterfall is from here to four bucks or is it a long-range target that's a little less granular?
Mark Rohr: We came out in 2008 and did that. We would provide a lot of specificity of our plans, I know that was going to happen and we will – and we will be doing the same thing this coming May. And that’s the target we have internally and of course, we are expecting a lot of that out of organic growth activities, but there will be some – little bit of support from acquisitions to help us get to that level, but it's still our expectation to get this machine [ph] to $4 by 2012.
Robert Koort – Goldman Sachs: Terrific. Thanks.
Mark Rohr: Thanks.
Operator: Your next question comes from the line of Edward Yang with Oppenheimer. Please proceed with your question.
Edward Yang – Oppenheimer: Hi, good morning. Congrats on the quarter.
Mark Rohr: Thank you.
Edward Yang – Oppenheimer: A clarification on the earlier question from P.J. on Catalysts. Are you expecting Catalysts to show sequential operating income growth 4Q to 1Q? I get a pretty strong fourth quarter and I think you had some additional royalty income this quarter as well?
John Steitz: Yes. This is John. We are – well, let me put it this way. I would be extremely disappointed if we didn’t have sequential profit growth on Catalysts business in the first quarter.
Edward Yang – Oppenheimer: Okay. And thinking more longer term on Catalysts, big growth driver again longer term was going to be oil sands or the crude slate getting progressively heavy. What kind of oil price do you think it would take to get those projects back online and what do you think the long-term growth rate for Catalysts at this point normalizing for year-over-year changes in refill cycles and so on?
Mark Rohr: Yes, I think what's different between today and say in the 2005, '06 kind of time frame is that there – there is a lot of pressure of these refineries who are under their margins are really stressed and it doesn't look to me like the U.S. and European refinery is going to be out of that situation anytime soon. In fact, some folks predict maybe five years or six years or seven years and that kind of trough. I think really it's the margin these guys are making on the recovery materials that are really driving these investments. So it's going to be hard to – in my opinion, to go out and invest the kind of extraordinary capital it takes to recover incrementally new material from the oil sands. So I – we don't really see that growth profile as being as dramatic as everyone thought it was going to be a few years ago. But clearly, as oil prices go up, part of their contribution is the margin, just the recovery of crude. That number, as you know, used to be 50, it's migrated north of 50 now. Last number I saw was in the 80 range, which is close to where we are. But you are going to need to see some stability of crude and the crude markets before that investment takes place. Beyond that, what we see for the business though is we do see continued growth. Now, I want to be really clear in saying that what Albemarle is able to do is bring new technologies to the marketplace in spite of what has been absolutely horribly marketplace. We have added lot of value for our customers by bringing in new FCC technologies, by bringing in new HPC technologies. I don't think that's going to change. So we are expecting to get into a, what I call, more normal growth cycle of 5%, 6% kind of levels of HPC and so we think that's what is going to be carrying us going forward. Now, FCC, it's going to be hard to get big volume growth there because that business is from the base level and gasoline is slightly declining, but we think we can hold volumes here and by introducing new products, slowly push those up. So a few percentage points here is what I would expect. Polyolefin, as John talked, doubling kind of. So that's a double-digit kind of year-over-year growth for a couple of years and that's what we think is going to be happening there. The last thing I'll comment on is that we are pretty myopic in our approach to Catalysts and that we satisfy our current customers and there are actually teams of people looking how we push out in other areas like in solar film area and things like that using some of these technologies. So I think we will be bringing additional businesses to play here in Catalysts to maintain growth. So that's a long-winded way of saying that we expect good growth in this business and if ever was a normal cycle, I'd say back to stronger in more normal areas that we anticipated in the 2006, '07 time frame.
Edward Yang – Oppenheimer: Okay. And thank you for that insight, Mark. My final question is just on polymer additives. And the improvement there has been very, very impressive, especially starting from the first quarter to the fourth quarter of 2009. When I look at this business historically, it has had big cyclical dips and conversely, we've had big spikes upwards as well. But when I average it out over the past five years, you earn about $106 million in income in polymer additives including good times and bad. And when you look at the fourth quarter that you just reported, the run rate is a big higher than that. It's closer to $128 million. Does this mean that we are kind of at the later – latter innings of recovery in this business? It doesn't sound like you believe that. And what kind of structural or secular drivers are helping you have some additional confidence in driving incremental polymer additives growth? Some people are talking about a new PC replacement cycle for example. Are your customers talking about that?
John Steitz: Yes. Yes, this is John. That's a big question, that's a very broad question you just asked. Let me try to comment on it. I – fire safety is kind of the pillar there. And then you build on that with electronics growth. And then you have – I mentioned this wave effect of printed circuit boards to enclosures, I mean TVs, to auto and construction and things like that, a very broad-based business. So with that, if we don't see any kind of significant economic derailment, I think we can continue to grow this business and have a very solid 2010. What we've tried to do through the course of – especially, the first half of 2009 is determine our own destiny by driving out cost and doing that in a very structural, permanent way. And if you look at that, the incremental margins in this business, we are very proud of that. And hopefully that will really be a pillar, if you will, that we can build on in the coming year. So we think after this Chinese New Year, we'll have a much better reflection of real-time demand. We've got our inventory structure right and we feel we are staying very close to our customer base to meet their needs. So I think 2010 can be a solid year for us.
Edward Yang – Oppenheimer: Okay. Thank you very much.
John Steitz: Thanks, Ed.
Operator: Your next question comes from the line of Robert Wright [ph]. Please proceed with your question. Mr. Wright, your line is open. And there are no further questions at this time.
Sandra Rodriguez: Thank you. I'd like to thank everyone for participating on the call today. If there are any further questions, you can contact me at the number indicated on our press release. Have a great day.
Operator: Thank you for your participation in today's conference call. This concludes the presentation, you may now disconnect. Good day.